Operator: Greetings, and welcome to the American Eagle Outfitters Third Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.  
 I would now like to turn the conference over to your host, Judy Meehan. Thank you. You may begin. 
Judy Meehan: Good morning, everyone. Joining me today for our prepared remarks are Jay Schottenstein, Executive Chairman and Chief Executive Officer; Jen Foyle, President, Executive Creative Director for AE and Aerie, Michael Rempell, Chief Operating Officer; and Mike Mathias, Chief Financial Officer.  
 Before we begin today's call, I need to remind you that we will make certain forward-looking statements. These statements are based upon information that represents the company's current expectations or beliefs. The results actually realize may differ materially based on risk factors included in our SEC filings. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law.  
 Also, please note that during this call and in the accompanying press release, certain financial metrics are presented on both a GAAP and non-GAAP adjusted basis. Reconciliations of adjusted results to the GAAP results are available in the tables attached to the earnings release, which is posted on our corporate website at www.aeo-inc.com, in the Investor Relations section. Here, you can also find the third quarter investor presentation.  
 And now I'll turn the call over to Jay. 
Jay Schottenstein: Good morning, and thanks for joining us today. I hope everyone is doing well. I'm extremely happy with the continued strength across our business. It was a truly a milestone quarter in which we posted the best ever third quarter results and announced an important strategic acquisition.
 I'll start with our results, which were simply outstanding. This quarter, we delivered record revenue of $1.27 billion, reflecting growth of 24% from 2020 and an increase of 19% to 2019. Healthy sales and merchandise margins, combined with cost efficiencies, drove profit flow through, which surpassed our expectations, with Record operating income of $210 million, reflecting a margin of 16.5%, our highest rate since 2007.  
 We are extremely pleased to see sustained momentum across our brands and channels which posted growth versus 2020 and pre-pandemic 2019 levels.  
 Casual wear remains in high demand, and AE and Aerie are perfectly positioned to benefit. We are delivering great product and sharper marketing as well as brand experiences, both in-store and online.  that are second to none. The AE brand is achieving exceptional results. Under Jen's leadership, the product style and quality has improved remarkably, and customers are noticing. As back-to-school came rolling back, AE received more than its fair share of growth. shopping frequency and spend is up dramatically, and we are acquiring and reactivating more customers. It's exciting to see the consistency in our signature jean business, which continues to reach new heights across genders. At the same time, we are seeing renewed growth in categories that have been underpenetrated in recent years.  
 Aerie's growth continues at a fast pace, with momentum across all categories, including our new activewear brand, OFFLINE by Aerie. Customers who try Aerie love it, and the brand is just beginning to unlock its true potential. Healthy acquisition and retention are fueling strong sales, and we are seeing nice reception as we expand into new markets. Our Real Power. Real Growth strategic pillars have provided a road map and instilled focus across the company. Simply put, we are running our business better than ever. key initiatives such as inventory and real estate optimization and the transformation of our supply chain are driving significant profit flow-through. The processes, disciplines and capabilities we have put in place over the past 18 months will continue to set us apart, fueling strong returns and taking AEO to even greater heights.  
 As an organization, innovation is a core value and at the heart of everything we do. We clearly recognize that many of the changes in our industry over the past year are here to stay. In order to remain competitive today and in the years to come, we must pivot and think differently about our business.  
 That brings me to our exciting plan to acquire Quiet Logistics. This acquisition marks a major milestone for our company, which I believe will be transformative. Acquiring Quiet allows us to build on the efficiencies we've gained over the past 12 months and position us for success as we grow our business over the coming years. We also have a broader vision. We expect the combination of Quiet Logistics and the recent acquisition of AirTerra to create a unique platform that revolutionizes logistics within our business in retail. Through consolidation and pooled resources, the customer acquired in AirTerra will enjoy the agilities and efficiencies that were previously only available to the world's largest brands and retailers. I believe this will create an exciting new profit center with meaningful growth opportunities for AEO.  
 Lastly, our efforts around sustainability and building a better world through our ESG initiatives remain front and center at all times. We continue to increase our most sustainable real good styles across all merchandise categories. Additionally, we are investing to decrease emissions in our operations as we make progress towards becoming carbon neutral.  
 AE's outperformance year-to-date was truly remarkable and exceeded our expectations. I'd like to thank our teams across AEO for how well they have executed in the quarter and throughout the year. They clearly demonstrated the agility to meet unexpected challenges while also staying the course towards our long-term goals. Our results continue to be fueled by a sound and meaningful strategy. resilient operations and focus on innovation and a passionate world-class team. Strong demand continues, and we expect a strong close to 2021.  
 With that, I'll turn it over to Jen. 
Jennifer Foyle: Thanks, Jay, and good morning, everyone. This was another amazing quarter for AEO with such immense excitement around Aerie and AE as customers turn to their favorite brands, back-to-school. Customer KPIs were very favorable as we brought in new customers and won more of their wallet. It was a great setup for the holiday season, where I'm happy to note the energy has stayed just as elevated.  
 Starting with Aerie. We consistently reach new heights each and every quarter. 28% revenue growth in the third quarter, following a 34% increase last year, demonstrates Aerie's strong growth path. This marked the 28th consecutive quarter of double-digit growth. Profit flow-through was also very healthy with a 16.5% operating margin, reflecting new third quarter highs for the brand. We achieved this despite some unevenness of inventory flow during factory shutdowns in South Vietnam. This occurred primarily in our high-demand legging business, which is also one of our best margin categories.  
 Sales metrics in the third quarter were incredibly healthy. The AUR was up in the high teens, driven by higher full-price selling and more strategic decision-making around promotions. Demand was strong across the Aerie portfolio with our core intimates bralettes and apparel leading the charge. The OFFLINE activewear brand is continuing to generate excitement as it expands its product offering. We feel great about what's to come as we grow the store footprint and widen the customer base.  
 Marketing is also playing a key role. In August, we launched the Voices of AerieREAL. This was Aerie's largest integrating marketing campaign featured across TikTok and Connected TV and Snapchat. This platform is giving our customers a voice and opportunity to share what makes them real. The response was truly amazing. Hundreds of customers shared their touching and funny real stories and will be featured in our upcoming campaigns.  
 Year-to-date, Aerie's customer file has expanded 15%. Customers are transacting more frequently and across more categories. This is driving higher spend per customer as Aerie becomes the go-to for intimates activewear and cozy apparel. We opened 29 new Aerie doors in the quarter, including a mix of new stand-alone and side-by-side formats, roughly 1/4 of them are OFFLINE doors.
 Momentum heading into the holiday season remains strong. We are focused on driving broad-based scale recognition of Aerie as a must-stop gifting destination, and I am so excited for what we have planned, and I look forward to sharing more Aerie highlights in the upcoming quarters. 
 Now turning to American Eagle. I'm thrilled with the great progress we're making just 11 months into the launch of our new strategy. As I shop our website and walk our stores, I have to tell you, the strong AE heritage we all know and love is back. The assortment has been refreshed. Our advertising and messaging is reenergized, and it's working.  
 Sales in the quarter rose 21% compared to 2020 and increased 8% to 2019. Reuniting our branded product together with inventory optimization and promotional discipline drove strong AUR growth and merchandise margin expansion. This resulted in significant profit flow-through and operating margin of 27.8% that reflected new highs. Our strength during back-to-school is a clear signal that we are the destination for jeans, which continues to hit new highs. AE's customer file is up and here too, customers are buying more frequently and spending more.  
 As we predicted, current trends in shifting to the web are playing right into AE strengths as the market leader. In the quarter, our men's business saw tremendous growth across all categories, the women's business also posted strong sales, supported by our signature denim category and a focus on outfitting. AE continues to explore innovative ways to reach and broaden it's audience. I'm so proud to share that AE was included in TikTok's pilot of its social commerce program this quarter. Being a part of the new initiative is a true testament to the growing strength of the AE brand and its importance to customers, AE also launched a store on Snapchat and became the official partner of Twitch gaming, a new channel created by gamers for gamers. There is so much momentum across the brands as we head into the holiday season. The teams did a great job getting our product out here, and we're positioned to meet strong demand.  
 To the teams across AE and Aerie, I can't thank you enough for all your hard work. It's paying off in spades, and I'm so happy how far we have come and how much we've accomplished in such a short period of time. More to share in the coming quarters.  
 Thank you. And now I'll turn the call over to Michael. 
Michael Rempell: Thanks, Jen, and good morning, everyone. I'm very pleased with how we executed this quarter. The teams did a remarkable job managing through a highly disrupted operating environment. Strong top and bottom line results are a clear indication that our strategies are working. We are making sustained progress against the strategic pillars outlined in our Real Power. Real Growth value creation plan. And with this, we are unlocking structural benefits to create the best brand experience for our customers. and our selling channels really delivered this quarter. We are pleased to see store traffic rebuild rising in the double digits, driving a 29% increase in store revenue. Selling trends were robust across our factory outlets and mainline stores, with both formats also seeing significant profit improvement. 
 Momentum was broad-based across all regions in the U.S., and all international markets also posted positive results. Our digital business continued at a healthy pace with revenues up 10%, successfully lapping 29% growth in the prior year. I am pleased to note that both our store and digital revenues and profits in the quarter surpassed levels we achieved in the third quarter of 2019. This is reaffirming that we are emerging from the pandemic stronger. Year-to-date, digital penetration is 35%, and our trailing 12-month digital revenue is approximately $1.8 billion with very strong profitability. 
 As we prioritize enhancing the omnichannel shopping experience, we are launching new tools and technologies. This quarter, we expanded our virtual selling tool, AE Live which leverages our amazing store teams and local influencers to connect directly with customers looking for inspiration and guidance on the latest trends. We also launched Afterpay in stores enhanced our e-gifting for a more engaging experience and expanded both same-day delivery services and customer self-checkout to more geographies. 
 I am very encouraged by the strength in our customer data. We closed the third quarter with the highest active customer count and highest average annual spend since 2010. Over the past 12 and 24 months, we added almost 1.75 million and 2.25 million new customers, respectively. Approximately 1/3 are engaging across both brands and spending approximately 2x that of our average customer annually. Following a successful relaunch last summer, the royalty program is growing, with members spending more and staying longer. 
 Now shifting gears to logistics and supply chain. We continue to reap the benefits from our in-market fulfillment model. Delivery costs leveraged 120 basis points in the quarter. In fact, delivery cost dollars were down year-on-year, led by efficiencies created in digital delivery. With product located closer to stores and customers, delivery times and the average cost per shipment declined versus last year. And with greater control over inventory placement, shipments per order were also down dramatically. This created enormous cost savings and efficiencies. 
 As Jay said, we are thrilled to announce the purchase of Quiet Logistics, which will allow us to increase these benefits over time. In particular, the ability to drive substantially greater sales and margin on far less inventory, create more precision in our inventory allocation decisions and deliver products to customers both faster and at a lower cost. This comes shortly after our acquisition of AirTerra, which we discussed on last quarter's call. The combination of Quiet and AirTerra has meaningful growth potential, offering a one-stop shop for cost-effective transportation and fulfillment solutions to a growing customer base. 
 A technology-led supply chain is the backbone of the successful retail business today and into the future. We believe we are demonstrating the power of this and that Quiet and AirTerra are providing capabilities that are much needed in today's marketplace. We are going to continue to grow both of these businesses and are excited to welcome their highly skilled and experienced teams into our family. 
 As we discussed in September, the global supply chain remains highly disrupted with core backlog and shifting production schedules, leading to longer delivery times and higher transportation costs. Overall, we managed effectively through these challenges. 
 In the third quarter, the AE brand essentially had no disruption. However, as Jen discussed, Aerie's legging category experienced uneven inventory flows when factory closures in Vietnam created product delays. As a result, we chose to air the product in to ensure we were in stock for the holidays. Although there is a related cost that Mike will discuss in more detail, we are in a healthy inventory position that are set up for a very strong holiday. 
 In closing, I'm extremely pleased with our performance year-to-date, and I'm looking forward to sharing more details on our new investments in the coming quarters. 
 And with that, I'm going to turn the call over to Mike. 
Mike Mathias: Thanks, Michael. Good morning, everyone. In the third quarter, we built on strong momentum from the first half of the year, posting yet another record revenue and profit results. Even with the global operating environment still in flux, our teams executed with precision, guided by the initiatives we outlined in our Real Power. Real Growth value creation plan back in January.
 We continue to place strong emphasis on product innovation that strengthens customer affinity for our brands, inventory discipline and focus and real estate optimization and supply chain investments that build on our leading omnichannel capabilities. Together, these initiatives are fueling our performance and improving our gross margin for the long term. Revenue of $1.27 billion, operating income of $210 million and adjusted EPS of $0.76 marked third quarter records for the company. Gross margin of 44.3% and operating margin of 16.5% hit their strongest levels since 2007. Growth across the business was also exceptional compared to the pre-pandemic 2019 period. 
 Consolidated third quarter net revenue increased $242 million or 24% versus third quarter 2020 and is up $208 million or [ 19% ] from 2019. Across brands, sales metrics were very favorable, strong demand, higher full price sales and fewer promotions drove the average unit retail up 15% and fueled a high single-digit increase in our average transaction value. 
 As Michael noted, our selling strategy as an omnichannel retailer continues to be a competitive advantage fueling growth across channels. We offer customers the convenience they seek on where and how to shop and continue to work to optimize the costs associated with that convenience. From a brand standpoint, Aerie continued its industry-leading multiyear growth trajectory. Revenue rose 28% from third quarter 2020 and over [ 78% ] from third quarter 2019. Aerie's operating profit rose 46% and the operating margin expanded to 16.5%, marking a new third quarter high. 
 Incremental freight costs were $5 million or a 170 basis point headwind to brand operating margins in the quarter. Additionally, uneven flow of goods, particularly in our signature leggings business put pressure on volumes as well as product mix as this is one of our highest margin categories. Despite these headwinds, Aerie posted a significant improvement in profitability compared to prior years, almost tripling versus third quarter 2019. 
 Moving to American Eagle's brand performance. I could not be more pleased with our results here. The third quarter saw a significant profit on [ LockIt AE ] as top line grew 21% and operating profit jumped 68%. Operating margins hit a remarkable 27.8%. As Jen mentioned, with improvements across key categories, the top line grew 8% against 2019. We are seeing far better profitability even beyond our expectations. Strong demand for our products is being met with healthier decision-making across all areas of the business, and we are truly benefiting from the inventory optimization work unveiled in January. With significant progress here, we still see room for further unlock moving forward. 
 Total company consolidated gross profit dollars were up 36% compared to the third quarter of 2020, reflecting a 44.3% gross margin rate. A strong top line allowed us to realize expense leverage and rent as we benefited from lease negotiations. And as Michael indicated, if efficiencies in our distribution network, fuel leverage and delivery. Merchandise margins also expanded due to our focus on inventory optimization, promotional discipline and higher full price selling, partially offset by higher freight costs. 
 As a result of strong sales, we saw SG&A leverage 190 basis points. The dollar increase of $41 million was due primarily to higher store payroll, especially as we lapped capacity constraints last year as well as new store openings and increased advertising. This was partially offset by lower incentive compensation due to accruals earlier in the year. 
 Record operating income of $210 million reflected a 16.5% operating margin, our highest third quarter rate since 2007. Adjusted EPS was $0.76 per share, marking a record third quarter. Our diluted share count was 205 million and included 34 million shares of unrealized dilution associated with our convertible notes. 
 Ending inventory was up 32% compared to a 13% decline last year. The increased freight costs had about a 10-point impact on ending inventory at cost. We're really happy with our inventory position. I'd like to take a minute to recognize the hard work our teams put in to get our product here on time to support strong demand this holiday season. 
 Our balance sheet remains healthy, and we ended the quarter with $741 million in cash, up from $692 million in third quarter 2020. Capital expenditure totaled $58 million in the quarter and #144 million year-to-date. For 2021 we continued to expect capital expenditures to come in on a low end of out $250 million to $275 million guidance range, reflecting cost savings and project timing. 
 With regards to our real estate strategy, we have significant flexibility in managing our store fleet to support our revenue and profit goals. As we work towards our long-term target of rightsizing AE store footprint, we are dealing with a sharp eye on maximizing profitability. For Aerie, we are focused on markets with the greatest opportunity. Due to backlogs and building materials and fixtures, several of our third quarter store openings shifted into the fourth quarter, we expect the majority of these stores open by the end of the year. 
 We're very excited about our recently announced acquisition of Quiet. This will improve our ability to service both channels and lock in the cost benefits and overall gross margin efficiencies we've consistently seen over the past last year. 
 To wrap up, our performance year-to-date has been truly phenomenal and even more so in the context of challenges and uncertainties in our external environment. We're extremely pleased with our record results year-to-date and continued progress on our strategic initiatives. Sales trends remain strong heading into the key Black Friday and Cyber Week period. We have met our goal to ensure our customers do not feel any impact from supply chain disruptions and we're well positioned to meet holiday demand. However, that has come with additional freight costs in the range of $70 million to $80 million, which will impact the fourth quarter. 
 Of course, we expect to nicely exceed $600 million of operating income for the year, well above the $550 million 2023 target. We will be updating our longer-term financial targets at ICR this January. Our results year-to-date continue to reaffirm that the Real Power. Real Growth value creation plan is working, and that we're focusing on the right levers to drive financial success and returns to our shareholders. 
 With that, I'll open it up for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Jay Sole with UBS. 
Jay Sole: Jay, I want to ask you about your comments on the recent acquisitions of Quiet and AirTerra, you call them transformative and said they'd be profitable. Can you talk about why you're using those type of words? I mean, can you give us a sense of what kind of revenue and profit on these acquisitions continue to the company? And also why you see this transformative? 
Jay Schottenstein: All right. We have a problem that your voice came in all ruffled up. We couldn't hear the question. 
Jennifer Foyle: Yes, Jay, can you try to repeat that? 
Jay Sole: Can you hear me now? 
Jay Schottenstein: There's something wrong with your line. 
Michael Rempell: Yes. I think he was asking about Quiet and AirTerra. 
Jay Sole: Can you hear me better now? 
Michael Rempell: There you go. 
Jay Schottenstein: Yes, yes. Now we can hear you much, much better, much better. 
Jay Sole: Okay. Sorry about that. The questions were about the acquisitions. Jay, you used the word transformative and profitable. Just can you elaborate on why you see this transformative? And what kind of profit potential you see from these businesses, also revenue potential as well as profit potential? 
Jay Schottenstein: All right. First of all, this is an acquisition that we've been using for the last 15, 16 months ourselves. We saw this year part of our success of getting higher margin is ability to have the right merchandise at the store at the right time in the most efficient manner. And a part of it is because of using client. We've had very good success with it. We've had such success that we didn't tune our horn, but this past quarter, our operating costs on our logistics were lower percentages than the last couple of years, we played the best lower percentages and actual dollars for the quarter were less dollars than the previous year. And I don't think any retailer can make that statement that their costs of merchandise -- not the cost of merchandise, but the cost of the handling was less than the year before with what's going on in the market and the environment they're working on. 
 First of all, the systems inquired are the most up-to-date system. We've got the Sort robots walk around pulling. We have the ability to deliver to the customer fast. And the big thing that we have is that this system follows our model that we set up. We were the first people when we built our distribution center a few years ago to have the ability to handle stores and direct to the customer in the same facility. Most people do not build their facilities. They built separate facilities for the online business of separate facilities for store. We really made a true omni experience where our facilities can handle both. 
 This same system that Quiet has, gives us the ability to even do it better. If you ask me what I see? I see us expanding Quiet with more locations that will have all these micro centers around the country and be able to deliver it faster, better and more efficient. And also, the big thing is we already have 60 customers handling other people, other retailers. We're giving great service. And I look at us getting a platform which will be able to allow ourselves and our partners in it to whoever -- different retailers between their [ tier ], they've come aboard. And the ones that are coming on board, on Quiet, to really be able to compete against the Amazons of the world and the Walmarts of the world in an efficient manner. 
 Because in the future, and I say this to our team, logistics, logistics or districts. If you're not efficient there, you're not going to win. We have the best merchandise in the world. and the best looks. But if we don't have the ability to get it there in an efficient manner, we're not going to win. And this will give us ability to stay on top. And we have great things we brought in. The quality of our teams are put against anybody in the industry, period. 
Jay Sole: Maybe if I could just follow up. If you could offer some ideas on revenue and profit potential because you mentioned you have 60 customers. Do you see that customer comp growing? And what does that mean for revenue and profit potential of the business? 
Michael Rempell: Jay, this is... 
Jay Schottenstein: I'll let Michael Rempell answer that, but we're very excited about that. When you say about growing the area people contacts we want to become customers like we could talk about the potential, it's big potential. I mean this is a true high-tech story. 
Michael Rempell: Yes, yes. So, Jay, we're actually going to defer that answer until next year. But like Jay is saying, we see tremendous potential for this business. And as we said in the Quiet release, we see this business not only being very large, but being very profitable and having margins that are incremental to the company. And we'll give more color at the beginning of next year. 
Jay Schottenstein: Yes. Certainly, Michael, I think the big thing we're pointing out is we're taking what's normally been a cost center, and we're going to turn it to a profit center. 
Michael Rempell: Right. 
Operator: SO Our next question comes from the line of Matthew Boss with JPMorgan. 
Matthew Boss: Congrats on a nice quarter. 
Mike Mathias: Thanks, Matt. 
Michael Rempell: Thanks, Matt. 
Matthew Boss: At Aerie and American Eagle, could you speak to demand that you're seeing across categories exiting the third quarter as we enter holiday? How you feel about overall momentum in each concept so far in November maybe? And just comfort with your inventory across the assortment as we think about the fourth quarter as a whole and exit the year? 
Jennifer Foyle: It's Jen. And happy Thanksgiving to everybody. Look, I first want to start with inventory and congratulate the team. I'm hearing from competition that they really leaned on direct, which is indicative to me that they could probably support their store base. Keep in mind that we have a decent sized store fleet across our chain, and we were able to not only meet the customer demands there, but also on direct. Our store business was fantastic. And with just real disciplines in inventory, we were able to get that product based on some of what Jay just spoke about to the customer at the right time. 
 And I do want to add in one thing there. When I think about doing that, I love the reactivation rates we're seeing on our customer base. We're plus 40% in both brands on customer reactivation, which again tells me -- plus 40%, I should say, tells me that our customers are highly engaged. They're excited to go to the store and see what we have to offer. We're in great supply there. And I think we're ready to hit the road into holiday. And I love what I'm seeing. I was just in the mall. I saw all three brands, excuse my voice, I'm a little threat today. And, I saw an OFFLINE store in the area and Aerie, and I saw American Eagle Outfitters, and I have to tell you, we are ready for the holiday season. 
 It looks like there wasn't a blip in the road as far as I'm concerned. And I think we look best in show. So I'm really proud of what these teams are able to deliver just to really deliver on to the season. And like, look, this is definitely continued momentum so far. We have a few weeks ahead of us, meaning this week is our big one. So we're buckling up and I'm pretty excited about our execution to date. 
 That said, look, in American Eagle, we have reignited that customer. We set out a strategy a year ago and look at these results. I mean the earnings are spectacular, the execution on low inventory levels. Of course, there's a denim trend out there, and those cycles last for a long time. And I love that they're incredibly -- it's not just one fits, that's the best part. And what we're seeing in that is that she's aging -- she and he, they're aging up with us, and they're growing with us. So we're pretty excited about that. And I love what I see in the future, the way we're mixing denim. 
 This marks almost a full year of really not promoting denim 365 days a year and look at those results. Our promotional cadence is lower than ever. And again, just the thoughtfulness in our strategies around exciting the customers is right on. All categories have really been performing nicely, and we see continued opportunity in both men's and women's for outfitting in the future. in AE. And I love what spring is going to bring us. I saw early on -- some of the early-on photo shoots and what our marketing campaigns are going to be, and it's better with age. 
 And Lastly, I will say, don't forget, we have a brand-new design team, a new head merchant, and they're really putting together a fabulous assortment strategy for the future. And I could not be more proud of that team. And looking to Aerie, well, number one, we have a whole new business category OFFLINE. You heard about the leggings, incredible those results. with one of our highest demand categories in our highest margin category. So we were able to hurdle that potential a bump in the road. 
 And I think we did a great job doing so and watch out because those leggings are here and are ready for holiday. Look, the new brand is certainly exceeding expectations, OFFLINE. We have a lot of learnings, and we had a lot of learnings. I always love a learning because it means there's upside for next year. And the team is really disciplined right now and focused on delivering incredible results in Aerie. All categories have fired though. 
 In Q3, we've seen a nice acceleration in our core intimates business, as well as lounge. Many people scratch their heads and wondered if launch was still going to be desired category and certainly is, we're really excited with what we've been seeing. So more to come, and we're excited about holiday and the future. 
Matthew Boss: That's great color, Jen. Maybe Mike, just as a follow-up on profitability. So kind of twofold. Can you speak to drivers of AE's operating margin expansion? I think it was up over 1,000 basis points in the third quarter relative to two years ago? 
 And then just with Aerie, is 20% operating dollar flow-through, is that still the right rate to think about for the concept as we move forward? 
Mike Mathias: Yes. Thanks, Matt. I'll answer the second question first. I think we talked about 25% for our longer-term targets. We flowed through about 25% in Aerie this quarter over a two-year basis. But I think if you do the math on the freight that we incurred in the brand, which on a proportionate basis was a bigger deal to Aerie. We definitely missed some business in leggings that Jen was just talking about, to the tune of probably we're estimating maybe $15 million in the quarter, maybe a little over $1 million a week in leggings business. So if you do the math on that, you'd be at a probably 20% operating rate or so for the quarter versus the 16.5%. And if you think about the flow through, then would have been probably 30-plus -- 30% or higher in the quarter versus the 25%. 
 So I think we'll talk about the longer-term goals in January, again. 25% is what we communicated last January. We got the question around that being conservative. The answer to that was likely conservative. We've been flowing through I think in the first half of the year, more like 40%. So we'll talk about. I think 30% is probably a good number to have in your mind now, and we'll refine that for January at ICR. 
 And then on the operating rate expansion in AE, it's really the story of everything we're talking about at the company level, too. So we saw some nice night merchant margin gains on top of really strong gains last year. But the bigger story is through the gross margin was rent and delivery. The majority of our leverage, the majority of the gross margin expansion, which then benefited AE on some night revenue growth were those two categories. And then again AE, growing 21% to last year, but then up 8% to 19%, how is leveraging other expenses, too. But rent and delivery were definitely standouts for us, and I think that's continued work that we'll see. That's the Quiet conversation, that's the logistics capable efficiencies and leverage we expect to continue to see, and we'll continue to tell, give, provide more details around that in the future. 
Operator: Our next question comes from the line of Paul Lejuez with Citi. 
Kelly Crago: This is Kelly Crago on for Paul. I'm just curious if you could elaborate on your outlook for the gross margin line in the fourth quarter, just in light of the $70 million to $80 million in additional freight costs? And what are your AUR assumptions in the fourth quarter? Are you expecting as strong as of AUR that you saw so far this year? 
 And then just secondly, on the AUC, just curious what you're looking at for -- at '22, what sort of price increases would you expect to help offset? 
Mike Mathias: Thanks, Kelly. I'll take the gross margin pieces and maybe Michael can take some of the '22 questions. So at first AUR, we're expecting similar type of results in AUR. Again, we have a lot of business ahead of us in the fourth quarter here, navigating week-to-week, but our expectations are similar in terms of what we saw in the third quarter. 
 Gross margin piece of your question for the fourth quarter, we disclosed and we talked about the $70 million to $80 million of freight cost. The number for the year is more like -- is over $90 million. So we did incur -- as we talked about in the Aerie comments, we incurred some incremental freight costs in the first -- or in the third quarter. You can think about maybe 100 basis points of impact there to the company. But fourth quarter, it's $70 million to $80 million. And if you do the math on rounding what you're expecting in revenue, what we're probably expecting in revenue, it's probably all -- it's close to 500 points of gross margin. 
 So I think the benefits we're seeing in rent, delivery, almost we'll expect those things again, but then we did what we said we're going to do, which was get our inventory here, make sure the customer didn't feel any impacts of the supply chain disruptions of Vietnam shutdown, and we spent money to get it here. So that's about 500 basis points to the fourth quarter. If you do the math related to guidance, I mean, hit that question maybe now, which if you model out what you would expect us to probably have been guiding to in the fourth quarter and subtract $70 million to $80 million, you're probably in the right place. And just to say it proactively, not tough to put it in a press release, but we'd be talking about a $700 million number higher, if not for that freight cost. 
Operator: Our next question comes from the line of Adrienne Yih with Barclays. 
Adrienne Yih-Tennant: Congrats. And I just have to say from personal experience, the digital and [indiscernible] store are remarkably fast, like a day. It crazy. So good for you. 
Michael Rempell: You're experiencing the efficiency first hand then. Thank you. 
Jay Schottenstein: Yes. Thanks, Amy. 
Adrienne Yih-Tennant: I know. Exactly. You're welcome. Maybe Jay or Jen or whoever wants to take this one, can you talk about AE brand's #2 denim selling position in the U.S., how has that changed maybe from five years ago? I seem to recall annually, it was sort of in that 20% of sales, but it seems like it's like significantly higher than that. So if you can talk about where that is? 
 And then any comment on fourth quarter-to-date holiday. We've heard about acceleration, massive acceleration in the space into the first part of November, any quarter-to-date by brand would be super helpful. 
Jennifer Foyle: So yes, in denim, we still remain #1 in women's for all ages, and we sit #1 in men's for our age demo. 20% market share or still in that zone. I would like to just add though, it's really about the health of the business. I mentioned it on my prior answer, the AURs and denim are at record highs, and they've surpassed the total AE brand AURs. So it's pretty impressive as a percentage growth.
 It's pretty, pretty impressive when you see our ability to sell full price denim. And honestly, it's about time because the love and the detail and the workmanship that goes into our denim at this price value equation is like no other. And I'd like to say that we're in this for the long haul. I like what we've done over the past year. I like that we're demanding the retails that warrant the quality that I just spoke about because I think it bodes well for our future where many retailers are going to face a lot of headwinds. We have that beauty of, again, delivering quality, less units, and we're going to keep on looking at what else we can offer this customer and grow that AUR, where it's warranted, so only where it's warranted, but we're seeing no resistance. If they love the fit and they love the silhouette, they are spending. So that will give us a lot of leverage in the future. If you think about it, eventually, these headwinds are going to come down. Our costs are going to be more advantageous. 
 And I think we're going to be in a good position to take advantage of some of that, but also continue to better our quality year-over-year. And that's truly the strategy. we're trending up over the past five years as far as market share. And our customer is aging with us, which I mentioned as well. Love that. love that because in the past, we used to see the customers jump out around 19, 20 years old. So we are in there as the #1 solid denim offering in specialty from age 15 to 25. So really excited about that. 
 And headed into holiday, we're continuing the momentum. I like what I'm seeing. But again, it's early on, Adrienne, to tell. It's obviously a big quarter, but we definitely saw some acceleration early in on the quarter. So now we're here. We call it green week, and we are ready to fight and most importantly, delight our customers. So just wanted to wish you a happy Thanksgiving as well. 
Adrienne Yih-Tennant: Great job. Happy Thanksgiving. 
Jennifer Foyle: Take care, Adrienne. 
Operator: Our next question comes from the line of Oliver Chen with Cowen & Company. 
Oliver Chen: Happy holidays, everybody. The topic of ESG and sustainability is really important to Cowen, and a lot of the research that we've been doing is for Gen Z and Gen A. What would you say distinguishes you in terms of your competitive advantages? One of the risk factors we see around denim is clearly water and the future of water as well as dyeing and thinking about transparency and the consumer preference for transparency as well. 
Michael Rempell: Oliver, this is Michael Rempell. Yes, look, I would just build on what Jen was saying, which is we've invested over the last few years a lot of time and money and resources in building the best product that we can. And part of doing that is investing in how that product is manufactured, whether it's using better dye stuff, more sustainable dye stuff, more sustainable cotton, reducing water usage as part of the manufacturing process. And we're working very closely with our factories. 
 We set ambitious goals. In fact, our water goal that we set earlier last year, we believe we're likely to accomplish that this year or next year in terms of water reduction, and we're going to continue to raise the bar and make sure that our product is as sustainable as possible. Because if there's something our customers care about, it's great quality, it's great fit, it's great innovation. It's great value. but it's also the way our product is manufactured and the impact on the environment. So it's something we take very seriously, and we're going to continue to raise the bar and improve the sustainability of our product and believe that in this environment where people are dealing with inflation and other pressures that the sustainability of our product, along with the quality of our product is going to be a significant competitive advantage for us. 
Jay Schottenstein: Also, Michael and Jen, I think you could tell them about the T-shirt program we have coming up for the spring with the special dyes, there are special seaweed dyes. 
Jennifer Foyle: Yes. I mean the design team in both brands obviously have real good top of mind for all of our product categories. I mean from swim, as the swim category being almost 100% denim. And again, there's many variables under that, what a 100% means. But our swim denim for back-to-school, we're going to be almost 90% there as far as 90% of our denim being real good. 
 And we're just innovating under the covers. I mean, Jay, I don't want to tell everyone that we have on order. We have some really cool T-shirts coming your way. I can't tell them the ingredients, so Jay. 
Jay Schottenstein: I will now... 
Jennifer Foyle: There's special ingredients there. But the design team definitely knows that this should be a top of mind question when we go to design and the sketch point and raw materials, what can we do? What part of this garment could be real good? Everything we do every part of it, something that we do is better than doing nothing. I mean that's my position on this subject matter. And we are continuing to innovate in all of our categories, whether it's BM Icon, whatever it may be, you'll see more and more of this coming from AEO Inc. and really, it's what our customer cares about. It's top of mind for this next generation. It's the #1 idea or concept that these generations talk about. 
 And trust me, I have a 14-year-old and she's always reminding me that I need to go recycle my shoes. So I will say it's something that we care about in AEO Inc. and there's going to be some great report outs. And we'll -- I'm sure we're going to talk about it when we go into the investor meeting and ICR at the beginning of the year. So thank you. 
Operator: Our next question comes from the line of Simeon Siegel with BMO Capital Markets. 
Simeon Siegel: Congrats on the ongoing strength, and I hope you all have a great holiday season. 
Jay Schottenstein: Thanks. 
Simeon Siegel: The two-year revenue growth is fantastic. It's a great job. You've clearly been enjoying the higher full price sell-through. Just curious how are units versus 2019 for AE and Aerie? And then sorry if I missed it, did you speak to how you're approaching wage inflation from here? 
Mike Mathias: Yes, I can answer. I mean, for AE brand, units are down. So when you think about the AUR growth, margin growth we've seen, we're doing more with less units. So this revenue growth you're seeing is significant unit efficiency. That's what we're seeing through the P&L and other places, like delivery in terms of cost efficiencies. So that's the continued story. 
 Aerie, of course, on the growth we're seeing there, Units are up, but it's always AUR. So it's not all driven by unit growth. It's as much or more driven by AUR growth. So again, that's just inventory optimization. That's the way Jen and the teams are buying with depth. We're seeing AUR growth then less promotional stance. And that's -- I think we've talked about it profit equals less units. So the more we can drive revenue with less units, the more profitable all the way through the P&L and there's more efficiency, higher sustainability. You name it, it's all a good story when you're selling less units. 
Simeon Siegel: Great. And anything on wage inflation? 
Mike Mathias: We have not seen -- I mean I think we are in good shape there, Simeon. And I think in our stores and our distribution centers, we are not seeing anything that's beyond -- especially in the stores, typical sort of market or local minimum wage increases, that's part for the course, things we deal with over and over. We're not seeing a significant impact there in stores. And I think we've done a nice job in our distribution centers as well to mitigate wage inflation there. Mike, I don't know if there's any other color you want to add on the DC side. But... 
Michael Rempell: No. Actually, our labor situation in our distribution centers is in good shape. We have raised wages in the DCs to attract talent, but we've been able to attract all the labor that we need for the season, and we believe that we're largely going to offset any of the wage increases with efficiencies in the distribution center. So we feel good about how we're positioned going into holiday. 
Mike Mathias: Maybe one, we levered -- our own DC costs and labor we leveraged in the third quarter, Simeon. So we're seeing as much -- Michael just hit the points on sort of how we're handling labor and making sure we're staffed appropriately, but we -- on a total basis, our DCs we leverage costs. 
Operator: Our next question comes from the line of Dana Telsey with Telsey Advisor Group. 
Dana Telsey: Congratulations on the nice results. I think the acquisitions of Quiet and AirTerra are very interesting. As you think of this becoming a separate business line in your income statement and potentially revenue and profit driver, does this lead to more acquisitions? What fits in this? And how do you see the margin profile compared to the base business and does the base business grow because of having these businesses that help drive logistics leverage? 
Michael Rempell: Dan, it's Michael. I'll answer that. First, just to reiterate what Jay said, clearly, this is working. Okay. Our total delivery leverage, digital delivery, leveraged as a percent of sales, delivery dollars are down, and our packages are getting to customers 10% to 15% faster. So we couldn't be more thrilled about seeing these acquisitions that we have, these partnerships that we have and the impact they're having on our business. And clearly, we were acquired Quiet when we acquired AirTerra because we believe that this combination of scale, speed and cost advantages is needed in the market. And what we're finding, we haven't closed on Quiet yet. 
 We're planning to close at the end of December. But what we're finding is we're going out to AirTerra is that there's a massive unmet need in the market. brands and retailers of all sizes are anxious to sign up with us. And well, again, we'll give more color on that at the beginning of next year because previously, they didn't have these kind of capabilities. They couldn't access local delivery networks. They couldn't position their inventory closer to customers and stores. The combination of what we're doing with Quiet and AirTerra gives brands and retailers of all sizes the ability to do both, the ability to better position inventory, the ability to serve stores and the ability to deliver e-commerce to customers faster and cheaper than they could previously. 
 So we're excited to give you color on it. Clearly, we invested in it. Jay is a great entrepreneur. He worked with us, he saw the opportunity, but we invested in it. not just because it's supporting our American Eagle business, but because we believe that this is going to be a big business in its own right. And as we went out and we talked about this before, but as we went out and we're building our plans, not only is there substantial top line growth, not only is there nice profit associated with that, but it's actually accretive to our margin rates. So again, we're going to talk about it more at the beginning of next year, but you're seeing the results in the American Eagle business. It gives us a lot of confidence that -- and the conversations we're having with other brands and retailers give us a lot of confidence that there's a huge unmet need here and that this is going to be a big business in its own right. And we're looking forward to giving you more color at the beginning of next year. 
Jennifer Foyle: Okay. We can take one more -- so we can take one more question. 
Jay Schottenstein: You know something, I'll just add like one thing to what Michael said. We believe that in the logistics business, bulk is very important, getting better rates and as far as the shipping cost. And we also believe is this platform and we look at this as a platform, not just a business and someone's are going to develop, and we figure in mind will be us that this will be a platform that will be shared by our competition, it will make them stronger because if we have stronger competition is better for us. more people that are attracted in the malls, it helps our stores too. And this is really going to be the answer to certain other retailers who really have been out trying to destroy the retail in this country. And we think we have an answer against that, and we're prepared to lead the charge. 
Operator: Our final question this morning comes from the line of Susan Anderson with B. Riley Securities. 
Susan Anderson: Nice job on the quarter. Just a follow-up on the denim AUR. It sounds like you've been pretty pleased with what you're seeing there. I'm curious if the consumers are shopping, you're more middle price point denim or if they're also kind of biting at those higher price points that we're seeing in the stores that approach $80 at full price? 
 And then also, I'm curious how you're thinking the sales play out for this holiday. We're hearing a lot of consumers will shop earlier. Do you think that the results you've seen so far in fourth quarter reflect some earlier shopping and potentially we'll get that December lull? 
Jennifer Foyle: Sure. I love retail because it's art and commerce, right? I think the team is doing a great job painting a beautiful picture for our customers, but it's also about how we invest. So when we think of pricing and we look at our tiered price points, we ensure that our investments make sense. So regarding the higher price points, as we learn, we will scale, and we've seen no resistance at this stage, which gives us some runway for the future. As I just mentioned, with sustainability being at the forefront, it's important that we think about that because it's not cheap to be green, shall I say that. 
 And I think we're paving a great way ahead of us, not even in just denim, but in all of our categories because it allow us to be able to face some of these cost increases, which then again, we will be able to leverage once we get through some of these headwinds. But to our benefit, I love what we're seeing in our ability to sell higher prices in a nutshell. So denim, certainly, we're, like I said, the team is investing accordingly based on where we think the demand is by price point. But certainly, we've seen some great opportunities for the future. 
 As far as holiday look, we're coming into Q4 with great momentum. Certainly, at the beginning of this month, we definitely saw that. And I do believe we're going to win throughout the season. We have goods here right now to sell for this week coming up, but we also are going to be in good position in December. And we have newness flowing in December, and we have flow strategies that are exciting that will keep the customer engaged. So without having a crystal ball in front of me, I like where we're positioned. I think the teams have done an outstanding job getting us here. So now it's our job to maximize the potential. 
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'll turn the floor back to Mr. Schottenstein for any final comments. 
Jay Schottenstein: Okay. In closing, this was an excellent quarter for AEO with record revenue and profit performance. The strategic initiatives we laid out as part of our Real Power. Real Growth value creation plan are clearly working. Momentum Heading into the holidays is strong, and we feel confident with sufficient inventory to meet the very healthy demand we are seeing from our customers. 
 And now we want to thank everyone for the investment in our company and for joining us this morning. And at this time, we want to wish everyone a happy holiday. Everyone should stay safe. And we look forward to seeing everyone in January at the ICR like update as far as updating our numbers and bring everyone along with our strategy. 
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. .